Operator: Good day everyone and welcome to the Sun Hydraulics Corporation 2013 First Quarter Conference Call and webcast. Today's call is being recorded. At this time I would like to turn the conference over to Rich Arter. Please go ahead, sir. Rich Arter. Please go ahead sir.
Richard K. Arter: Thank you, April. Good morning, and thanks for joining us on today’s call. Allen Carlson, Sun's President and CEO; and Tricia Fulton, Sun’s CFO are participating in today's call. At this time everyone should have received Sun’s 2012 Annual Report and 2013 proxy statement, which were mailed on or about April 12. Sun’s annual meeting of shareholders will be held on Tuesday, May 28, at 10:00 A.M. Eastern Time at the company’s facility at 701, Tallevast Road in Sarasota, Florida. Please be aware that any statements made in today's presentation that are not historical facts are considered forward-looking statements. For more information on forward-looking statements, please see yesterday's press release. We will take questions once we have completed our prepared remarks. It is now my pleasure to introduce Allen Carlson.
Allen J. Carlson: Thank you, Rich. Good morning. We’re pleased with our 2013 first quarter results despite difficult year-over-year comparisons due to an exceptionally strong first quarter in 2012. Sales came in right where we expected and earnings were higher than expected, the environment continues to be uncertain at this point, but we sense that the global economy is slowly improving. We are excited about having acquired the remaining ownership of WhiteOak. To help everyone better understand how WhiteOak fits into Sun’s offering, I would like to take a few minutes to review our electrically actuated product history and agenda. Electrically actuated cartridge valves have been around for a long time. In the late 1990’s we began to release our line of electrically actuated solenoid cartridges. In 2003, utilizing the design principles employed in these products, we introduced the range of electro proportional valves. The difference between solenoid and proportional products is that solenoid shifts from one discreet position to another. Proportional valves are infinitely variable within their range of operation. A good analogy is a light switch. A solenoid valve is like a simple on/off switch, while a proportional valve would act more like a dimmer switch. Proportional valves require an ancillary supported device called an amplifier. Basically, the amplifier takes the electrical current and manages it to control the mechanical operation of the valve. As we increase our product development of electrically actuated cartridges, we recognize the importance of other electronic control products and their influence in purchasing decisions. Sun took an initial 40% stake in WhiteOak controls in 2005, based on our needs for differentiated electronic control products. While most amplifiers in the marketplace require mechanical adjustments, WhiteOak had a digital technology that offered many benefits. Using this technology we embedded amplifiers directly into our cartridges to create a unique and user friendly solutions. A couple of years later we took an equity interest in HCT, further committing our electronic control products. Today we’re pleased both WhiteOak and HCT are fully owned Sun companies. WhiteOak manufacturing a product development activities will become part of HCT’s operations. We believe HCT is an ideal platform from which to expand and speed product development and improve manufacturing efficiencies of WhiteOak products. Together HCT and WhiteOak expand the ways in which we communicate with onboard electronic control systems. This creates the value for our customers with unique solutions that are difficult to duplicate. Our investments into the electronic control side of the business, while relatively small in monetary terms, have played a crucial role in our success and growth in the past decade. The electronically actuated cartridges and electronic control products have helped increase sales of integrated packages and open new addressable markets for Sun. Prior to having these products, we would often be precluded from quoting. Now we can provide solutions with 100% Sun content for the vast majority of our hydraulic control needs. Sun’s electrically actuated valves and supporting electronic control products, will continue to be a core part of Sun’s growth and differentiation. I would now like to turn the call over to Tricia to provide detail on the quarter and discuss what we see coming. I'll be back to take questions once Tricia has completed her remarks. Tricia?
Tricia L. Fulton: Thanks, Al. As we mentioned in our press release we remain upbeat about the global macroeconomic environment. We realize that in the short-term there will continue to be some volatility and uncertainty. However we also believe that the further we distance ourselves from the great recession, the more foundationally strong the global economy becomes. While the economy still faces problems, it is slowly healing. At a fundamental level, the world needs to invest in infrastructure, investments come in many forms including extraction and processing of natural resources, roads to connect people and places. And buildings and housing for expanding urban populations. New and improved ways to generate energy are also required to manufacture goods that consumers need and want to buy. At the heart of all of these activities is some form of machinery that employs hydraulics. And if there's a machine being built anywhere in the world, that means there's an opportunity for Sun to create value for the machine builder and to capture value for our stakeholders, this is why we remain upbeat about the future. Let's look now at the numbers for the first quarter. Sales were down 8% with earnings down 10% compared to Q1 last year. Sales to the Americas were down 7%, Europe, Africa and Middle East down 9% and Asia Pacific down 6%. In 2013, pricing accounted for approximately 3% of sales and foreign currency had a positive impact on sales of 0.5%, while down year-over-year, we are comparing to a very strong Q1 2012. However, sequentially, sales rebounded; this is typical of our seasonal patterns the rebound was driven largely by European and Asian sales. Gross profit as a percentage of sales remain strong in the first quarter at 40%, SG&A expenses decreased 6%. The provision for income taxes in the first quarter was approximately 32% and we expect a similar rate for Q2. Net cash from operations was $11 million. Inventory turns remained high at nearly 10 and days sales outstanding were 34. A shared distribution dividend of $0.09 per share was paid on March 31 to shareholders of record on March 15. Additionally, a quarterly dividend of $0.09 per share for the first quarter was paid on April 15 to shareholders of record on March 31. Capital expenditure for 2013 are expected to be $14 million, this includes approximately $9 million for the completion of our third Sarasota facility and $1 million for the expansion and update of our UK facility. Remaining expenditures are for purchases of machinery and equipment. We are optimistic about the future of our business, both short and long-term and look forward to having our new capacity available later this year. The additional facility provides us with new capacity to support the development and launch of new products and services. It also provides us with the opportunity to rearrange our manufacturing, enabling us to be more productive and efficient. We closed on the WhiteOak transaction on April 1, paying $1 million for the remaining 60% of the company which was funded by cash on hand. Near-term, we don't expect a material impact to our sales and earnings from this acquisition, however longer term we expect HCT's marketing efforts to grow sales of WhiteOak and Sun products. Looking ahead to the second quarter, demand is strengthening sequentially, influenced by both seasonal and market driven factors. Q2 sales are estimated to be $55 million with earnings estimated to be $0.41 to $0.43 per share. I would now like to open the call for questions.
Operator: Thank you. (Operator Instructions) Mig Dobre of Robert W. Baird.
Brian Brophy – Robert W. Baird & Company, Inc: Good morning, this is Brian Brophy in for Mig
Allen J. Carlson: Good morning, Brian.
Tricia L. Fulton: Good morning, Brian.
Brian Brophy – Robert W. Baird & Company, Inc: In the past you had mentioned your current capacity could support about $220 million in revenue. How much additional revenue do you expect to be able to support following the opening of the third facility, another $110 million?
Allen J. Carlson: That’s probably a good picture, I would say it’s equal to the facility in size that we have today each of the other source going to add about another third to, maybe perhaps more than a third capacity.
Brian Brophy – Robert W. Baird & Company, Inc: Got it. And then looking out to the second half of 2013, all of the machinery OEMs are going for some improvement in the back half. I know you guys don't issue guidance, but are you guys, do you guys have that sense, currently, maybe some improvement from the first half to the second half of 2013?
Allen J. Carlson: That's kind of what I see as well. I don't know that I would forecast that as much as I might say that I speculate that that may happen. If we take a look at the drivers globally, I think the U.S. is likely to stay above where we are at perhaps plus or minus a few percentage depending upon a number of factors. I think Europe is coming off the bottom and things are likely to correct themselves looking forward. I think Asia is stimulating the economy, China's been trying to stimulate the economy for the last six months or so. I think that will begin to see traction in that area, so I think globally looking forward, the second half is likely to be stronger than the first half, but again, that's very speculative.
Brian Brophy – Robert W. Baird & Company, Inc.: Got it. Thanks. That's all the questions I had.
Operator: (Operator Instructions). Next we’ll hear from Jon Braatz of Kansas City Capital.
Jon Braatz – Kansas City Capital Associates: Good morning, Allen.
Allen J. Carlson: Good morning, Jon.
Tricia L. Fulton: Hey Jon.
Jon Braatz – Kansas City Capital Associates: Good morning, Tricia. Couple of questions. Do you sense that, as you look forward, you mentioned some seasonal improvement and some, hopefully, improving market trends. Do you see any inventory build? Do you see anything your distributors are doing to maybe prepare themselves for maybe a better second half?
Tricia L. Fulton: We actually are not seeing inventory build at this time. We do query our distributors each quarter to take a look at their inventory. We know it's not an exact science and that sometimes it's difficult to get those numbers from them. But we're seeing pretty steady inventory levels at this point. So we certainly don't see build, but we believe a lot of that's related to the fact that we can deliver on time we can deliver it tomorrow if you really want it. And I think our distributors have come to realize that we're pretty good at getting them the products when they need them.
Jon Braatz – Kansas City Capital Associates: Okay.
Tricia L. Fulton: WE haven't really gotten a lot of forward-looking feedback from the distributors. I think they have as little visibility as we do. But, overall, I think everyone feels pretty positively going into the second half of this year.
Jon Braatz – Kansas City Capital Associates: Allen, you were talking WhiteOak and when you look out maybe five years from now, how big a product line can electrically controlled valves be compared to where it is today? How large do you think it could be then?
Allen J. Carlson: Sure. When we started our initiative with electro hydraulic products, it was in the late 1990 and, at that time we essentially had no business in that arena, although we were being asked all the time if we could embed some electrically actuated products since to our integrated packages. Roll the clock forward 15 years to to-date, we believe that electrically actuated products and the products that they pull through, the integrated packages, is about 20% of our business today. If I still look forward over the next decade and when that product begins to mature, I would estimate that it will be about half of our business perhaps even more than half, but at least half, and we’re at 20% today. So that will give you a pretty good idea of the impact. If you took a look at the pie chart a decade ago, it didn't have any of these products as a slice of the pie. Today it's 20% of pie and in the future it will about 50%
Jon Braatz – Kansas City Capital Associates: When you look at where you stand today in that market going maybe, let's say, from 20% to 50%, is it you’re grabbing some market share to generate that those revenues or is it just the pie expanding, or both? I'm sure it's both, but relatively speaking, when might be more important?
Allen J. Carlson: No, I think it’s both and I think they’re both equally important. We have been able to drive a lot of business that is totally new business to our industry. But it's not just the hydraulic products that goes with them. It's the companion electronics coming out of California with our HCT business that is driving new opportunities that didn't exist for anybody. An example of this was in our annual report a few years back where we showed a city bus with a fan control system, and this system essentially didn't exist prior to us doing it.
Jon Braatz – Kansas City Capital Associates: Okay. All right, thank you very much.
Allen J. Carlson: Okay.
Operator: (Operator Instructions). Mr. Arter, it appears there are no further questions, I’ll turn the conference back over to you.
Richard K. Arter: Thank you, April, I just want to remind everybody again that the Annul Meeting of shareholders will be held at our facility at 701, Tallevast Road in Sarasota on Tuesday May 28, at 10:00 AM Eastern Time. Thank you all for joining us on today’s call and we look forward to talking to you again on August 6, after the release of our second quarter results. Thank you.
Operator: And that does conclude today’s conference. Thank you all for your participation.